Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Hormel Foods Corporation fourth quarter earnings conference call. [Operator Instructions] This conference is also being recorded today, Tuesday, November 26, 2013. I would now like to turn the call over to Ms. Jana Haynes. Go ahead, please.
Jana Haynes: Good morning. Welcome to the Hormel Foods conference call for the fourth quarter of fiscal 2013. We released our results this morning before the market opened. If you did not receive a copy of the release, you can find it on our website at www.hormelfoods.com under the Investors section. On our call today is Jeff Ettinger, Chairman of the Board, President and Chief Executive Officer; and Jody Feragen, Executive Vice President and Chief Financial Officer. Jeff will provide a review of the operating results for the quarter and the year, along with our guidance for fiscal 2014, then Jody will provide detailed financial results for the quarter and the year. The line will be open for questions following Jody's remarks. [Operator Instructions] An audio replay of this call will be available beginning at 10:30 a.m. Central Time today, November 26, 2013. The dial-in number is (800) 406-7325 and the access code is 4649315. It will also be posted to our website and archived for 1 year. Before we get started with the results of the quarter, I need to reference the Safe Harbor statement. Some of the comments made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those expressed in or implied by the statements we will be making. Among the factors that may affect the operating results of the company are fluctuations in the costs and availability of raw materials and market conditions for finished products. Please refer to Pages 33 through 39 in the company's 10-Q for the quarter ended July 28, 2013, filed on September 6, 2013, for more details. It can be accessed on our website. Now I'll turn the call over to Jeff.
Jeffrey M. Ettinger: Thank you, Jana, and good morning, everyone. We are pleased to report a strong finish to fiscal 2013. Earnings per share in the fourth quarter were $0.58, up 18% from a year ago, on sales of $2.3 billion, a 7% increase over last year. We generated segment profit and sales growth in 4 out of our 5 segments. For the full year, the company earned a record $1.95 per share, representing a 5% increase. We provided adjusted earnings guidance in June where we said we would earn between $1.88 and $1.96 per share for the year, and I am pleased to report we finished at the upper end of that range. Sales were $8.8 billion, an increase of 6%. I will now take you through each segment. Our Grocery Products group contributed significantly to our Q4 results, with segment profit up 17% and sales up 23%. Sales for Grocery Products in the quarter grew 1% excluding Skippy products. For the year, segment profit was up 18% and sales were up 30%. Excluding sales of Skippy peanut butter and Don Miguel products, sales were up 2% for the year. Sales of our Hormel Compleats microwave meals grew nicely during the quarter, enhanced by the introduction of our new Compleats breakfast meal items. We were also pleased with Skippy peanut butter sales this quarter. Our direct sales force has done a nice job generating distribution gains of Skippy peanut butter products domestically. In our MegaMex foods business, sales gains were led by HERDEZ sauces, tortillas and snacks. Our Refrigerated Foods Q4 operating profit increased 30%, with sales up 4%. For the full year, operating profit in this segment was up 2% and sales increased 1%. We enjoyed solid sales of Hormel Pepperoni, Hormel Natural Choice lunchmeat and LLOYD'S Ribs in the retail channel. Our Hormel REV Snack Wraps are enjoying broad consumer acceptance, driven in part by a national advertising campaign started in late July. We are also excited about the recent reformulation and packaging updates of our Hormel Country Crock Side Dishes, introduced just in time for the holiday season. Our Foodservice group provided nice contributions with its value-added products led by sales of Hormel Natural Choice deli meats and HORMEL FIRE BRAISED Meats. Hog costs were unseasonably high this quarter, but pork operating margins were improved as compared to last year's challenging operating environment. Retail bacon pricing actions taken last quarter helped drive improved Refrigerated Foods margins during the fourth quarter as well. Our Jennie-O Turkey Store segment continues to build favorable momentum, delivering increased segment profit of 25% on a sales increase of 7% during the quarter. For the full year, segment operating profit was down 7% and sales increased 3%. Results at Jennie-O in the quarter were driven by continued growth in value-added sales, along with performance gains and expense reductions in the live production supply chain. These gains more than made up for year-over-year higher grain costs and lower commodity turkey meat prices. Sales of Jennie-O Turkey Store retail fresh turkey chubs, turkey breakfast sausage chubs and turkey bacon were robust, while fresh Turkey tray pack sales were down during the quarter. Our Specialty Foods segment reported an operating profit decrease of 34% and a sales decrease of 14%, driven by the expiration of the agreement allowing Diamond Crystal Brands to sell certain sugar substitutes in the foodservice trade channels. Full year results for Specialty Foods showed operating profit up 7% on 1% higher sales. Our International & Other segment capped off an excellent year by posting another noteworthy quarter with segment operating profit up 82% and sales up 38%. Strong export sales of SPAM products, along with the addition of the Skippy export business drove the positive results. Our China operations also continue to augment segment sales growth. For the full year, segment operating profit was up 43% and sales were up 23% for our international team. Earlier today, we completed the acquisition of the Skippy peanut butter business in China and welcomed the Weifang China team to the Hormel Foods organization. Our team in China is fully prepared to integrate this business into our current sales and distribution operations within China, leveraging all available synergies in short order. Moving into fiscal 2014, we intend to again grow both sales and earnings. We expect our Grocery Products, Refrigerated Foods, Jennie-O Turkey Store and International & Other segments to contribute to the earnings growth. Our Specialty Foods segment will likely register an earnings decline as we rebuild after the expiration of the contract representing a significant portion of our sugar substitute business. We do expect more favorable grain and turkey commodity costs heading into 2014, as well as more normalized pork operating margins. We will also benefit from a full year of the Skippy peanut butter brand in the hands of our Grocery Products and International teams. We plan to continue building the REV brand with advertising support in 2014. We will also focus advertising dollars on our Jennie-O Turkey Store Make The Switch campaign, and we intend to launch the first national advertising campaign in over 10 years to support the Skippy brand in the latter half of 2014. Headwinds to our outlook for 2014 include high beef input costs and potentially volatile hog costs due to concerns in the marketplace about the PED virus affecting supply. The impact of the virus on the industry overall remains to be seen. We plan to maintain hog harvest levels flat to a year ago, but we'll closely monitor hog prices as the year progresses. Our balance model continues to smooth out volatility in our earnings stream as evidenced by our track record of increased earnings in 27 of the last 30 years. We believe our strong brands in niche categories and our focus on innovation to deliver products valued by consumers, put us in a position to deliver strong results for years to come. After taking into account all of these significant factors, we have established our fiscal 2014 earnings guidance range at $2.17 to $2.27 per share. At this time, I will turn the call over to Jody Feragen to discuss the financial information relating to the fourth quarter and fiscal 2013.
Jody H. Feragen: Thank you, Jeff. Good morning, everyone. Net earnings for the fiscal 2013 fourth quarter totaled $157.3 million or $0.58 per diluted share compared to $132.6 million or $0.49 per share a year ago. Net earnings for the 12 months of fiscal 2013 totaled $526.2 million or $1.95 per share compared to net earnings of $500.1 million or $1.86 per share a year ago. Dollar sales for the fourth quarter totaled $2.3 billion compared to $2.2 billion last year, a 7% increase. For the full year, dollar sales were $8.8 billion, a 6% increase from last year. Volume for the fourth quarter was 1.3 billion pounds, up 3% from fiscal 2012. Year-to-date, volume was 5 billion pounds, up 3% over last year. Selling, general and administrative expenses in the fourth quarter were 6.3% of sales compared to 7.4% of sales last year. Year-to-date, selling, general and administrative expenses were 7.2% of sales compared to 7.4% last year. We expect selling, general and administrative expenses to be between 7.3% and 7.6% of sales for fiscal 2014. Equity and earnings of affiliates was $2.1 million in the fourth quarter versus $10 million last year. The decrease is the result of lower earnings at our MegaMex foods joint venture, which experienced higher incentive expense on the Fresherized Foods acquisition, unfavorable exchange rates and higher input costs. The incentive expense will be completed in 2014. Interest and investment income was $2.5 million for the fourth quarter compared to $1.7 million last year. Year-to-date, interest and investment income was $5 million compared to $6.5 million a year ago. Interest expense for the quarter was $3.1 million compared to $3.2 million last year. Year-to-date interest expense was $12.5 million down from $12.9 million last year. We expect interest expense to be about $12 million to $14 million for fiscal 2014. Our effective tax rate in the fourth quarter was 33.9% versus 33.1% in fiscal 2012. The year-to-date effective tax rate was 33.6% compared to 33.4% last year. For fiscal 2014, we expect the effective tax rate for the full year to be between 34% and 35%. The basic weighted average number of shares outstanding for the fourth quarter and full year were 263.9 million and 264.3 million shares respectively. The diluted weighted average number of shares outstanding for both the fourth quarter and full year were 270.2 million shares. We repurchased 592,000 shares of common stock during the fourth quarter, spending $25.2 million. For the full year, we spent $70.8 million purchasing 1.7 million shares. We have 9.4 million shares remaining to be purchased from the current authorization in place. Total debt at the end of the quarter was $250 million, even with last year. Capital expenditures for the quarter totaled $38 million, even with last year. For the full year, capital expenditures totaled $107 million compared with $132 million last year. For fiscal 2014, we expect capital expenditures to be approximately $140 million. We announced a 12% per share increase to the annual dividend, making the new dividend $0.80. This represents an 18% increase over the 13% increase last year and marks the 48th consecutive year in which we have increased our dividend. Depreciation and amortization for the quarter was $31.9 million compared to $30.9 million last year. For the full year, depreciation and amortization was $125 million compared to $119 million last year. We expect depreciation and amortization to be approximately $125 million to $128 million in fiscal 2014. At this time, I will turn the call over to the operator for the question-and-answer portion of the call. Operator?
Operator: [Operator Instructions] Our first question is from Robert Moskow with Credit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: [indiscernible]
Jeffrey M. Ettinger: Robert, you're cutting in and out of us, I'm afraid.
Operator: And in the meantime, our next question is from Diane Geissler with CLSA.
Diane Geissler - CLSA Limited, Research Division: I wanted to ask about the role of innovation in your product portfolio. So you've done a lot of work on jobs over the last couple of years, Compleats, the breakfast launch, REV, I think you mentioned some work that you're doing on Skippy, and also just in terms of your advertising budget. Can you just give us an idea about sort of innovation, the things you've launched into the marketplace over the last 3 years? What percentage of sales are they at this point and what is your goal there? And then if you could talk a little bit about your advertising plans, you did mention them, but if you -- just in terms of, as a percentage of sales or year-over-year increase, I'm just trying to get a feeling for the role of innovation in your top line generation and also just the product portfolio in total?
Jeffrey M. Ettinger: Sure, Diane. So we track our innovative items on a little bit longer time frame than the 3 years. We still count items that we've created since the year 2000 as being innovative and we feel in the food industry, the longer tracking, given how long it takes consumers to change preference, makes sense, and we still see significant increases on items we introduced 7, 8, 9 years ago. So that being said, I mean that figure, we hit our $2 billion challenge last year. We complete this year north now of $2 billion. So it's about 1/4 of our total sales come from these items that were new to the markets since the year 2000. In terms of our philosophy of what we advertise, it kind of varies. Clearly, in the area of new product innovation, we have strongly gotten behind the REV launch with the significant campaign this summer and with plans to reinitiate advertising as we head into the new calendar year next year. We're excited about that product line. It's off to a great start. Sell-through to consumers through the retail channel for REV thus far this year are nearly $30 million, and it's only been a national distribution for 4 months. So we think that item is building some very nice momentum. But we also do advertise some of our traditional products. We'll have a SPAM campaign in the upcoming year. It'll be more digital and print-oriented. We did talk about that we want to initiate advertising for Skippy, and so in the second half of the year, you should see something for the Skippy products. And then Jennie-O Turkey Store will back on air, having a stronger campaign. They expect to be featuring turkey tacos, using their lean ground product, and that's anticipated to be on air starting in January.
Diane Geissler - CLSA Limited, Research Division: Okay, And I guess, so what the [indiscernible] questions, I'm just trying to get a feeling for if you think that the innovation is accelerating? And is the advertising responding to that? Are you accelerating your advertising as well?
Jeffrey M. Ettinger: I'll use REV as the example for that. And we're still kind of in the scheme of food in the early days of REV. But it was a launch that took us several years of consumer research to prepare for. We put a big effort against it in terms of gaining distribution quickly, and then a strong ad campaign. That frankly, had not been the norm for a lot of our other innovative items. They had tended to be maybe more niche items or simpler line extensions. Maybe 1 other exception that would be Natural Choice, we built from nothing and did put advertising against. So we're certainly hopeful that the strong campaign for REV within a couple of years here is going turn it into a solid profit contributor for the Refrigerated Foods group. And is that a model going forward? If we have another exciting big idea item like REV, then we would be prepared to support it.
Operator: And our next question is now from Robert Moskow with Credit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: Well, far be it for me to question a big quarter beat like this, but I have to ask about the SG&A being down $12 million from a year ago. Jody, you didn't mention it in the opening remarks, and I'm just kind of curious like why would it be down and why not spend more in fourth quarter if there's anything to pull forward to set yourself up for a much stronger fiscal '14?
Jody H. Feragen: Sure, great question. The primary driver of lower SG&A this quarter was advertising expense. And as much as we'd like to think you could turn that on a dime because it takes a little more planning than that and the primary cuts were at the Jennie-O. And we've talked about them of facing a difficult year all year. They had more muted advertising. We -- Jeff indicated in the previous answer, expect that to get back to more normalized levels. But that would be the SG&A explanation.
Jeffrey M. Ettinger: The other piece, Robert, I mean, what -- the item we're going to feature next year for Jennie-O, the lean ground franchise, always takes off during diet seasons, so through January through March, April time frame, so we wanted to coincide the next big push on advertising with that launch.
Robert Moskow - Crédit Suisse AG, Research Division: So is it fair to say that you pushed back the advertising for Jennie-O? Maybe you're spending more in fiscal '14 than you normally would? Or you just -- you've always had a plan to spend heavily on Jennie-O in '14?
Jeffrey M. Ettinger: So Jennie-O, I mean, years ago, we really didn't advertise it with a lot of muscle at all. And then in the last maybe 5 to 6 years, we've really seen the benefit as we built out that franchise and branded set of items to being really, frankly, the only turkey brand on air. So we've had very significant campaigns in '11 and '12, heading into '13. We knew we were going to be confronted with some macro challenges in that unit and so we kind of had planned the year to be a little bit quieter year on the advertising front, with the thought that, yes, even months ago, that '14 should be a year we get back on strongly, and that is the plan now we intend to execute.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. Last question, follow up. I'm a little confused on what I should be rooting for in terms of commodity turkey prices. If commodity turkey prices are lower, I guess, it's a benefit to your value add in Jennie-O. But then I kind of wanted turkey prices to go higher in '14 because I thought that would help the commodity part of your business that's leveraged to that. So what would be the best scenario for turkey prices next year?
Jeffrey M. Ettinger: Well, Jennie-O Turkey Store is primarily a vertically-integrated operations. So it's pure cost-based. We're less concerned about what the market price of any given turkey component is in terms of our inputs. So in terms of rooting for anything in particular, the dark meat portion of the bird is still the portion that would be most susceptible to going export or going in a commodity form. So the breast meat market really kind of doesn't matter in that regard. We tend to value-add almost all that product. So all else being equal, higher commodity turkey prices will get us better returns in the export and commodity markets for those dark meat components and that would be a benefit to Jennie-O and that's part of why we are expecting a good strong year out of Jennie-O on 2014 versus what they were confronted with early in 2013.
Operator: And our next question is from Jonathan Feeney with Janney.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: I wanted to ask about the contribution from Skippy on the quarter and looking forward to next year. So it looks like the disclosure you've given us as a percentage of volume, percentage of sales, it was just down a couple of points in contribution versus the last 2 quarters. And I'm wondering, is that a stronger performance sequentially, at least, revenue-wise in the Grocery Products business? Or is that a change in the contribution from Skippy or maybe some seasonality? And looking forward, what -- I know to the -- I guess, maybe the easiest way to ask it is, can you give us a sense how much profit Skippy is going to contribute in 2014 to the -- or has contributed this year to the Grocery Products lines for modeling purposes going forward?
Jeffrey M. Ettinger: Okay, so the Skippy change, in terms of sales momentum, we're very pleased with where it is, both on a domestic and the international markets that we were controlling at this point in the year. We're dealing with year-over-year comparisons that we didn't own it a year ago so, I mean, a little apples to oranges there. But we -- our sales team has done a nice job of gaining additional distribution of Skippy, of gaining better features. So we're really -- the mission in 2014, frankly, on the domestic side is rejuvenating the brand with the Skippy consumer. So it's those sales execution elements, and it'll be the advertising element, and we think our expectation is that should be strong. And then when coupled with what we're looking at now, that we own the China facility and overseas, our overall expectation for Skippy returns in 2014 are consistent with the guidance we provided when we bought the business. So kind of around a $0.15 contribution is the midpoint there, and that is inclusive of the ad campaign that we referenced for the second half of 2014.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: Okay, but no sense on how much operating -- I mean, let me ask, is it above or below average operating profit for the Grocery Products business margin?
Jeffrey M. Ettinger: Now it's -- I mean, in grocery pricing, we've gone through some changes in that with the MegaMex business getting bigger and that's [indiscernible] down a percentage. If you look at the sort of old Grocery Products of 16%, 17% returns, Skippy is kind of right in there with the advertising we're looking to do.
Operator: And our next question is from Tim Ramey with Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: I wanted to ask a little bit more about the big surge in international demand and whether there is an opportunity to enter China, with SPAM sort of on the heels of the Skippy product line there.
Jeffrey M. Ettinger: Very much so, Tim. So our strength in international, from a sheer volume standpoint, still is more of the traditional market, so the Philippines and Okinawa and Guam and many of the other territories. Two real opportunity markets for us for SPAM going forward are mainland Japan and China. We introduced SPAM to China. It's been about 4 years ago, but then we had a hiatus for 12 to 18 months when there were some trade issues that kept us from shipping the product in there. But we're back building distribution there. We do think it is leverage-able with Skippy, they're both shelf-stable items sold into that retail channel that makes us a bigger player with the retailers in those areas, and Skippy is already in a lot more markets than SPAM is in China. So we do intend to work to try to piggyback those 2 together, going forward, in that market.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Does SPAM enjoy the kind of the positive cult status that it does in, say, Korea, in China? Or how is that product regarded? Are people even aware of what it is?
Jeffrey M. Ettinger: Yes, pretty low awareness, candidly, Tim. I mean, it's -- you get more of that in Japan. So even though in mainland Japan we've not pushed the item, a lot of Japanese have traveled either to their own southern island of Okinawa or to Hawaii or many places. So the familiarity with SPAM in Japan is quite a bit higher. In China, it was pretty much a new brand and a new product, and so it's one that will just stay gradual building.
Operator: And our next question is from the line of Ken Zaslow with BMO Capital Markets.
Andrew Strelzik: This is Andrew Strelzik for Ken. So you had a nice step-up in Refrigerated Foods margins this quarter. Obviously, you've introduced and had success with some of the higher-margin, new products, and pork margins have only gotten better since the end of the quarter. So I'm wondering if you think we are entering -- I understand there can be volatility around the pork margins, but if you think we're entering a period where there's a step-up in the base Refrigerated Foods margins from some of the new products and some of the other initiatives?
Jeffrey M. Ettinger: Well, back in 2010, 2011, we did enjoy operating margins more in the low 7% range, the last 2 years have been more in the 5%. So we -- our game plan is certainly to start migrating back to where we were and hopefully go beyond that at some point. And you've identified some of the drivers. Definitely, the new product innovation, the REVs and the FIRE BRAISED in the Foodservice group. Over time, we hope we'll migrate of those margins upward.
Andrew Strelzik: And you highlighted a potential volatility in hog and pork prices for 2014. Would you anticipate needing to take more pricing? Or do you think that you pretty much covered what you would expect in terms of volatility there?
Jody H. Feragen: Andrew, this is Jody. I think we're pretty comfortable with the pricing we have to date, given the market conditions to date. Obviously, there's a lot of uncertainty as it relates to the hog markets, and we'll have to reassess as we go. Some of our contracts are based -- more tightly linked to input costs, so those kind of have automatic adjustments that go with them. So we'll continue to monitor it. Like Jeff had indicated, we continue to have the opportunity to improve the margins in the Refrigerated Foods area.
Operator: And our next question is from the line of Farha Aslam with Stephens.
Eric Gottlieb - Stephens Inc., Research Division: This is Eric Gottlieb for Farha. I have a question on turkey, and then I'll follow-up on chili. So last year, you took down your harvest levels 1% to 2% because of the grain cost. I just want to know what kind of plans you have for coming year, given the grains are down.
Jeffrey M. Ettinger: We do intend to increase production modestly in 2014 to support our value-added needs. After cutting production for the past 2 years, even the small increase will still leave us below our 2011 harvest levels.
Eric Gottlieb - Stephens Inc., Research Division: Got it, okay. And then the other question on turkey is, I've read reports of a shortage of heavier turkeys at one of your competitors. Is there anything that Hormel that would -- are you experiencing that as well? And what will bring that on?
Jeffrey M. Ettinger: We're really not. I guess, we don't know what transpired within that organization, but we were able to fill all of our fresh whole turkey orders. And, really, from what we've read in terms of other industry players, they seem to be also in a position of filling orders. So I think that was limited to one operation.
Eric Gottlieb - Stephens Inc., Research Division: Got it. And then moving on to chili. I noticed you've faced a little bit tougher competition from some of your competitors. Are you planning to support and advertise that brand? And how is the competitive dynamics working there? And then I'll pass it on.
Jeffrey M. Ettinger: Sure. It definitely has been more competitive in the latter half of the year, and chili may be one of the brands that we are seeing that is seeing some slowdown in terms of the center of the store sales that you're kind of hearing about from some of the other players. We don't have any television or traditional media ad plan for chili for the next year, but we will have strong promotional support in-store, a major push against the Super Bowl season and also, following up with that some of the other major drivers of kind of gatherings. Our Hormel chili is a particularly -- a strong usage, sort of out of the bowl dips and other types of items, and so it lends itself to March Madness and grad parties and you name them. So we definitely will have strong efforts to promote it on that basis.
Operator: And our next question is from Eric Larson with CL King.
Eric J. Larson - CL King & Associates, Inc., Research Division: Just some clarification on the Skippy contribution, Jeff. You mentioned, I think, $0.15 for fiscal '14. Is that the incremental contribution or would that be the total contribution? And obviously, if it's incremental, what was the contribution in fiscal '13 for Skippy?
Jeffrey M. Ettinger: So $0.15 is the total contribution. When we made the acquisition, we described our expectation for 2013 as being a modest accretion. It probably came in a little better than we had initially anticipated, but we haven't given a precise number and we really don't want to get into a kind of product line by product line profit numbers. So we gave you the $0.15 initially, and we're standing by it. But that's probably the last time we're going to give a specific number and cents per share for one line item in the franchise.
Eric J. Larson - CL King & Associates, Inc., Research Division: Okay, yes. I would just -- it just was confusing. I wasn't sure if it was incremental or a total contribution, so...
Jeffrey M. Ettinger: Very valid question, yes.
Eric J. Larson - CL King & Associates, Inc., Research Division: That helped. The outlook, if you look at your hog, your cut-out margins, obviously, we -- they're improving. They've gotten better. They're pretty volatile as well. But you should -- how are you looking at how it unfolds really kind of -- first half should have relatively easy comparisons for the year, and then it gets a little bit more difficult. Would that be the proper way to, from a 30,000 foot level, look at your earnings stream for refrigerated on the cut-out margins next year, Jeff?
Jody H. Feragen: Eric, this is Jody. I couldn't have said it better myself. Certainly, right now, we're experiencing favorable -- more favorable cut-out margins. It'll all depend on the volatility in the marketplace. So that's -- we're not looking for that to be a big win or a driver for us next year. So for the full year, kind of flattish.
Operator: And our next question is from the line of Akshay Jagdale with KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: So first question is on innovation. Can you just give us a little bit more color on the REV launch? You mentioned some numbers, but just give us some color on what you're seeing -- hearing from consumers on that, that might make you feel good or bad about it? And also, on the Compleats breakfast launch, that's under the radar, I would say. And more importantly, how do we track that in your results? Because it's -- the REV numbers are in the Refrigerated Foods segment, I believe, and the volume numbers there are negative because you had been cutting some SKUs or some business there that's non-core. So how do we track that? What are your expectations for these 2 product lines? And if you can just give me some -- give us some color on how things are going on those 2 particular product lines, that would be great. Then I have a follow-up.
Jeffrey M. Ettinger: Sure. Okay. We feel very good about the REV launch thus far. Our retail team did a great job gaining distribution in-store in time for our July ad campaign. We then saw a great lift from the campaign itself, enhanced trial, our repeat numbers are strong. And so it's off to a great start. The initial line had 8 items, we've added 4 more already and with probably a few more to come in the upcoming years. So it seems like it's well poised to be a great contributor for us. Now that being said, I mean, I think we talked about it at Investor Day. I mean, this kind of a launch is an investment. So in terms of any sort of bottom line return coming from REV, I mean, we're -- that's probably 2015. I mean, we're in the mode that we're -- we think this warrants making this investment but it's not driving bottom line results right now. Compleats breakfast, since that's more of a -- kind of a line extension to an existing line, there's more of an expectation that, that should be able to contribute right away. It's off to a decent start. It's not as robust maybe is what we're seeing on REV, but it's gained a good distribution and the consumers seem to be enjoying the products. And so between those and some of the newer pasta items we rolled out during -- earlier part of last year, both -- which are avail-ed by new technology that we have in place in our Dubuque plant, we feel good about the Compleats franchise. We've had some nice results in the last couple of quarters. And then your question about the -- kind of how to tie it into refrigerated and why is refrigerated down, Jody has a good answer for you on that piece.
Jody H. Feragen: So, sure, Jeff, thanks. So actually, you'll remember, I think we talked about it in the third quarter call. We exited some low/no margin feed business in the Refrigerated Foods, and that's a huge driver of those volume decreases. So we'll start seeing some more normalized levels and comparisons when we enter the back half of 2014. So follow up with Jana on any additional questions regarding that.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: So just to wrap up on that, so I understand that, on the REV, the profit will come in '15. But we should start to see some positive volume trends as you report them in the Refrigerated Foods as a result of that launch, correct?
Jeffrey M. Ettinger: Yes, I mean, you really will need to look at net sales. Because, I mean, REV is not a particularly heavy item, so it's -- it doesn't drive nearly as much volume as it does unit and dollar sales.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay, great. And then just a follow-up on a -- follow-up questions on turkey. Can you update us on grain costs now that we're -- we have some visibility on the harvest? What's your expectation on grain costs? And more importantly, where should we think about modeling turkey -- Jennie-O Turkey margins for next year? You have 11% to 15%, I believe, normalized range. And I think, on the last call, you said 15% is not really a ceiling per se. I would expect that, given where grain costs are, you should be at or above the 15%. But any color on that relative to grain costs would be helpful.
Jeffrey M. Ettinger: We certainly do expect that grain costs will become increasingly more favorable as the year goes on. I mean, even in the most current quarter, it actually were slightly higher year-over-year. But as we blend in some more of the corn that's now in the $4 and $5 range, we're certainly in a better position with that. In terms of our expectation for the unit, clearly, would add up to somewhere in the upper end of that range. We're looking at kind of a low double-digit increase for Jennie-O for the year. Now that's inclusive of advertising. So we want to make sure the momentum of that product line continues going forward. And so we -- arguably, we'll be reinvesting a little bit of the benefit we're gaining on the grain picture in to making sure we maintain that momentum of the new items.
Operator: And we have a follow-up question from Tim Ramey with Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Jody, I wonder if you could give us a little bit of windage, at least on the top line segment numbers. Because, for instance, it would be tempting to model Jennie-O sales flat to down, given the input costs, but I think that's probably wrong. And I'd love to be righter than wronger. Any thoughts there?
Jody H. Feragen: We all want to be righter than wronger. Tim, we challenge all our business units to deliver at a minimum 5% top line growth. Jennie-O does have the added complexity with the commodity sales. But as Jeff had indicated, we're increasing our harvests slightly to accommodate some more value-added sales. So I think if you model the 4% to 6% range, you would be right in there.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: And any thoughts on Grocery Products, given -- is the Skippy China going to go in there? It's in international, I guess.
Jody H. Feragen: Right.
Jeffrey M. Ettinger: Right. So, China is in international. But our -- your expectations for Grocery should be in the higher 5% to 10% range for 2 reasons: one is a full year Skippy, so they had 3 quarters of it this year. And frankly, the quarters we lap, we expect to have some growth. I mean, we've made some nice distribution gains. And then top of that, we can -- we have some nice momentum in the MegaMex side of the business. We're introducing a lot of new items under the Herdez brand, and so we expect some solid results on top line from that group as well.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: And since I'm on a roll, I assume Specialty down because of as -- because of the contract.
Jeffrey M. Ettinger: Yes. Yes, that's the expectation. They'll improve as the year goes on. The team is working hard to find new areas of business to grow in the future. But you saw the quarter they just had. That's what they're confronted with, at least early in the year. And they'll gradually improve from there.
Operator: And we have a follow-up question from Akshay Jagdale with KeyBanc.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: These are, I think, going to be for Jody first. Equity earnings, can you just update us on what the expectations are for next year? We've had a down year now, significantly down. But just can you help us understand what you're expecting for '14 and why?
Jody H. Feragen: So for -- 2013 really was impacted by the required accounting for an incentive/earnout-type payment on the Fresherized Food acquisition. And as that business has had spectacular performance partially aided by some favorable avocado costs, we needed to really do some catch-up on making sure that we were accruing. For 2014, it will still -- we'll still have expense related to that incentive payment, but it should be somewhat less. And I think the rest of the business should perform to cover that down. So I would not expect to see year-over-year decreases in the realm that you've seen in the last couple of quarters.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: So just sort of flattish operating -- is the contribution on the P&L should be similar to what we've seen?
Jody H. Feragen: I would expect improvements.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And as far as modeling goes, you gave us expectation for interest expense, the income line which, obviously, is mark-to-market for the rabbi trust mainly. Is that -- you just assume no change from where we are currently, right?
Jody H. Feragen: I would not move it too much either way. Most of the rabbi trust is invested in more fixed type return items to take out that volatility that we saw back in the late 2000.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay, and just one more. On D&A, the guidance that you gave, $125 million to $128 million, that includes how much in deal-related amortization for Skippy?
Jody H. Feragen: Akshay, why don't you follow-up with Jana on that? That's a little more granular than I'm prepared to address right now.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay, just one last one on Skippy. Can you -- you mentioned you're doing this advertising campaign which was -- you had mentioned it on the last call. But relative to your initial guidance, I mean have you -- can you just give us an update on sort of how is the domestic Skippy business perform relative to your expectations? And how has that sort of played into your view on advertising and how much you supported and when you supported?
Jeffrey M. Ettinger: It's performing well. It's performing well on a top line basis because we are gaining distribution and doing a better job with sales features. It's performed well on the bottom line basis. So that was my comment earlier where it did a little better than the modest accretion we had expected for 2013. In terms of advertising, when you make an acquisition, I mean, you only have so much information. Our thought process going into it was we think -- we thought it was a wonderful brand that hadn't been communicated in quite a while and that we thought that was going to be a leverage point for the business, and our team still thinks that. They're in the process, right now, of really landing on the right messaging. You should be looking for that campaign in the second half of the year. So that's when they feel they will be ready to go with it. But otherwise, it's consistent with what our expectations had been for the brand.
Operator: And we have a follow-up question from Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: Okay. My model for fiscal '14, I'm assuming 40% profit growth in Jennie-O. And I think, Jody, you said something in -- low double digits is more appropriate. So there's a big gap between what I think is possible just based on the grain costs, right? Because I thought grain costs would be down like $100 million based on how much corn you buy. Am I assuming the benefit's coming too early? Or am I just overestimating the size of the grain benefit for turkey?
Jeffrey M. Ettinger: Well, let me give -- I'll give you a few reasons, at least, that would come to me. One is, we won't see a full year of the kind of grain costs that you're seeing reflected in the current cash markets. I mean, one, because the timing of bringing turkey to market; and two, because of the continual hedge program that, in some cases, lock you in a little bit higher than what the current market is. Another reason would be we do have some sales within the Jennie-O organization, particularly on the Foodservice side that are on formula-based contracts. So that if the grain goes down, then the price does go down in some cases there, so that's not just all falling to the bottom line. And then the last reason I would cite would be the enhanced advertising campaign. So we are kicking back in to a level more like what we had done in our stronger years of 2011, 2012. And so we are investing some of the expected grain benefit into advertising.
Robert Moskow - Crédit Suisse AG, Research Division: That makes sense. And in the All Other segment, when you add the Chinese Skippy business, how much contribution should we expect for fiscal '14 from that? Is it material?
Jeffrey M. Ettinger: Yes, it's material. I mean, in international, we've had wonderful growth in that group. We've said that, against our 5 and 10 algorithm of company-wide of 10%, company-wide segment profit growth that we expect international group is going to be able to do better than that. And I would expect that again in the upcoming year, both with the momentum they already had on their business and the fact that they now have control over the Skippy China piece.
Jody H. Feragen: And Rob, international did benefit from Skippy in 2013 as well because of -- the North American part of that portfolio as well as exports into some of the Asia countries, but not China.
Robert Moskow - Crédit Suisse AG, Research Division: Right, because you had exports in '13. But I'm just wondering now that you're running the domestic business in China, is that -- is there a significant amount of profit in that business to take into account when we model it for '14?
Jeffrey M. Ettinger: It'll help international's results.
Operator: And it appears there are no further -- excuse me, there is a question from Eric Gottlieb with Stephens.
Eric Gottlieb - Stephens Inc., Research Division: Just one follow-up. The guidance you provided, would that include the closing of the Chinese Skippy business or no?
Jeffrey M. Ettinger: Yes. It's all in, yes.
Operator: And there are no further questions at this time. So I will turn it back to management for any closing remarks.
Jody H. Feragen: Thank you, all, for joining us today, and have a wonderful Thanksgiving.
Operator: And that does conclude your call for today. Thank you for your participation. You may now disconnect.